Operator: Good day, ladies and gentlemen, and welcome to Newtek Business Services Q3 2013 Earnings Conference Call. At this time, all participants are in a listen-only mode. (Operator Instructions). Later, we'll conduct a question-and-answer session and instructions will follow at that time. I would also like to reminder everyone that this conference is being recorded. I’d now like to introduce to you to your host for today conference Mr. Barry Sloane, CEO and President. Mr. Sloane the floor is your.
Barry Sloane: Thank you very much operator and welcome to the third quarter 2013 financial results conference call. My name is Barry Sloane, I am President, Founder and CEO of Newtek Business Services, stock symbol NEWT on the NASDAQ. Also here with me today is Jenny Eddelson, our Chief Accounting Officer. Jenny would you please read the Safe Harbor statement.
Jenny Eddelson: Sure. The statements in this slide presentation including statements regarding anticipated future financial performance, Newtek’s beliefs, expectations, intentions or strategies for the future maybe forward-looking statements under the Private Securities Litigation Reform Act of 1995. All forward-looking statements involve a number of risks and uncertainties that could cause actual results to differ materially from the plans, intentions and expectations reflected in or suggested by the forward-looking statements. Such risks and uncertainties include among others, intensified competition, operating problems and their impacts on revenues and profit margins, anticipated future business strategies and financial performance, anticipated future number of customers, business prospects, legislative developments, and similar matters. Risk factors, cautionary statements and other conditions, which could cause Newtek’s actual results to differ from management's current expectations, are contained in Newtek’s filings with the Securities and Exchange Commission and available through www.sec.gov.
Barry Sloane: Thank you, Jenny. For those of you that are interest in following the presentation today, the corresponding presentation is available on the Events and Presentations section of the Investor Relation section on our website thesba.com and following this conference call shortly thereafter we will have a audio version on our website. I would like to now turn your attention to slide three of the presentation. For many of you that follow the company closely, Newtek Business Services 8-K is filed and to registration statement on October 1st that was filed under Newtek Business Services Corp. Today we will not comment at all on this call on anything outside of the registration statement until its affective date. As CEO of Newtek, I don’t expect the results to necessarily improve quarter-over-quarter, however I do expect that demand from my team as they improve year-over-year. Having said that we are extremely happy with the big picture for Newtek Business Services and our third quarter earnings per share was up 66.7% over last year’s third quarter. Our letter is on track for its best year ever in terms of deals close and net income. And in the fourth quarter just in the month of October we closed $17 million of loans and the pipeline is very, very robust to close at a record breaking year. Today we are going to be reaffirming our guidance for the company as a whole in terms of EPS revenues, net income and EBITDA and we have big gains in each of those aspects year-over-year. The Board and I believe in this company, Board and I believe very much in this company and we are not alone. Goldman Sachs just extended us the $75 million credit facility which will allow us to grow even more in 2014. We are very, very excited about our recent servicing portfolio where a large third party entrusted us with the ability to service that portfolio of $400 million that takes over $1 billion as up servicing going into 2014. As we’ve grown particularly in 2013, we’ve taken a lot of measures over the last few months to strengthen our management team, improve our internal controls and risk management procedures. Before heading into the financial highlights section on the next slide, frequently I am asked from investors what do you do and the other question they ask is how do you all these things. And sort of ask that question on an individual level, how do you do all these things, my answer is, frankly, I don't do all these things. The real answer is we have 11 direct reports at Newtek that report directly to me, they run different divisions, they run accounting, they run legal, they run human resources, they run compliance, they run risk management, they are extremely talented. And over the course of many, many years we’ve built these different businesses on the same platform in an integrated fashion. We are very, very excited about this platform. But financial results that you are seeing are a decade-long efforts in work and putting together different businesses all working together, executives working at one team to create Newtek, The Small Business Authority. We all know this is a tough economic environment. The direction of this company is up, the momentum is up, the brand is growing, everything is coming together and most importantly, we are beginning to see that we are reducing our cost of capital and we are getting more capital that is coming to us. We are extremely excited about the potential opportunity through the entry registration statement, as well as Goldman Sachs line to deliver a business. Now moving on to slide number four, our recent 2013 financial highlights. Q3, 2013 diluted EPS is $0.05, the year over year increase of 66.7%. Nine months ended 9/30/2013 EPS for the year so far has been $0.14 year-over-year increase of 40%. Q3 2013 operating revenues, a 3.9% increase, Q3 operating revenues came in at $34.8 million. For nine months our operating revenues were $105.9 million that's the year-over-year increase of about 9.7%. Regarding net income; nine months ended 9/30/2013 net income is $5.1 million, a year-over-year increase of 43.2%. For the nine months ended 9/30/2013 pre-tax net income was $7 million, a year-over-year increase of 12.8%. We've reaffirmed our 2013 consolidated guidance. We've previously forecasted an EPS target range of $0.17 to $0.19 where the midpoint of $0.18, [so formerly got] $0.14 for the first nine months. And we've also issued 2014 consolidated guidance with a range of $0.20 in the bottom, $0.26 in the top and the midpoint of $0.23 that is a growth in 2014 that is forecasted in excess of 25% in 2013. On slide number five recent 2013 operational highlights. We've funded $120 million worth of loans through the first nine months of the year 66%. As I mentioned to you, previously we funded $17 million loans in the month of October that was particularly impressive given the government shutdowns, we've really only had about 10 days, two weeks to get this done. It is a straight line that would give us $51 million of closed loans for the quarter. We're excited and anticipate closing loans in excess of $50 to $55 million to get us to $175 million worth of the loans in 2015. Our pipeline for the first nine months of the year is increased year-over-year at 55%. The lenders are running to take a look at between $4.5 to $5 billion worth of referral opportunities for 2013. So down the road as we potentially look to expand our menu of different lending products, we’ll be able to use more of those opportunities outside of our line of credit receivable bank product and our SBA 7(a) product. As we've previously reported and mentioned earlier we entered into a letter of commitment for $75 million revolving credit facility with Goldman Sachs Bank USA and we're selected to servicing of $400 million portfolio for a large institutional client. We announced currently servicing a total servicing portfolio for our home loans and others exceeds $1 billion. We talked about the reaffirmation of the 2013 guidance. Midpoint $148 million, midpoint of revenue; midpoint pre-tax income for 2013, $11.5 million; midpoint diluted EPS, $0.18; midpoint adjusted EBITDA, approximately $21 million. Looking at our 2014 guidance, midpoint of $164 million that's a 10% increase over 2013 revenue midpoint. Pre-tax midpoint, $14.6 million, that's an increase of 27% over 2013 pre-tax midpoint. Diluted EPS midpoint, $0.23, that's an increase of 27.8% over $0.18 guidance for 2013. Adjusted EBITDA, midpoint $27.4 million, that's an increase of 31% over 2013 adjusted EBITDA midpoint guidance. Moving to slide number eight, looking our segments for Q3. In the left hand column and nine months ended September 30, 2013. In Small Business Finance, revenues were up 12.4%, pre-tax income was declined 12.9% coming in a $1.7 million. We will discuss why that occurred in the next few slides. Electronic Payment Processing; revenue increased 2.3%, pre-tax income up 7.9% coming in a $1.9 million. Managed Technology Solutions; revenue $4.5 million for the third quarter a 1.6% decline, pre-tax income declined 24.8%. We’ll also discuss that later on in the presentation. For the first nine months of the year, however these segments have performed very well. Revenue for the first nine months in Small Business Finance, up 33%, pre-tax income up 20%. The first nine months Electronic Payment Processing revenue 5.7% increase, pre-tax income 17.6% increase. Managed Technology Solutions, 2.5% decline for the first nine months of the year, 16.8% decrease. Moving to slide number nine, Q4 2013 guidance versus Q4 2012 actual performance. I wanted to put this slide out there to basically show you that you really can’t look at a business on a quarterly basis. We believe that the modest under performance in Q3 2013 will be around in Q4 2013. If you look at the comparisons on a consolidated basis, we believe our revenues will be up 11.6% in the fourth quarter of 2013 versus actually what occurred in 2012. We believe our income before taxes will be up 34% coming in at forecasted of $4.3 million versus an actual $3.2 million. And consolidated EBITDA up 30% coming in at $6.8 million expectation versus $5.2 million. And these are the numbers that will cause us to meet our guidance which have reaffirmed. Slide number 10 is a repetition of that 2014 guidance. We wanted to make sure that investors are currently looking at the fact that we look very good to hit our $0.18 number and looking forward to 2014 we are extremely confident the rest of the presentation, but we believe will give you the confidence that we can hit these revenue numbers which would be up 10%, 2014 versus 2013, pre-tax income which would be up 27% 2014 versus 2013 coming in with the EPS midpoint $0.23 versus $0.18 and an adjusted EBITDA which would be approximately 31% increase in 2014 versus 2013. Slide number 11, graphically detects our $0.05 share that we earned in Q3, 2013 and $0.14 EPS that we worked through the first nine months of the year. Slide number 12, some other graphic representations of the performance of the company. Really through the first nine months of the year and looking at revenues, net income, EBITDA, free tax all significant increases year-over-year. Looking at our balance sheet on slide number 13. You could see our total equity has improved from the end of the year last year Dec 31, 2012, $68.9 million to $74.4 million. Some of these that you are seeing on the balance sheet are obviously some growing liabilities, a lot of that’s based upon growing on loan portfolio and the securitizations that we do. Declined cash balances primarily represented by the fact that we have lot more money in loans sitting on the book prior doing securitizations where we get their advance rates. Moving to slide number 14 and focusing on the Small Business Finance segment. Q3, 2013 revenue increased by 12.4%. As we mentioned before funding through the first nine months of the year $120 million look to do $55 million in fundings in the fourth quarter. We talked about our real good month of October in fundings, our Goldman Sachs facility that we are excited about and the potential equity raise which we mentioned, which potentially could occur based upon our registration statement. On slide number 15, we wanted to discuss with the shareholders today loan pricing trends which particularly relates to government guaranteed portions of SBA loans. The SBA government guaranteed portions effectively are sold into the market as a full basic [regular] government guaranteed loan and is typically trade at prices to spread over LIBOR. In Q2 2013 we netted a weighted average premium of 12.53% or sold at a 112.53%. In Q3 2013 an increasing volumes were only into attain a 110.74%. And there are two reasons for that decline in price which is about 1.75%. One was the increasing interest rate on the long-end of the curve vis-à-vis short-end of the curve. The concept of tapering meaning the government stopping its QE program of buying long dated track reason mortgage-backed securities which effectively affects the shape of the slope of the yield curve, because longer dated instruments be more interesting to investors than shorter dated instruments. In addition to that, we created for more shorter-dated loans with less call protection. Those traded loan prices are in the first month of the fourth quarter, we have pricing data, weighted average net price at SBA back to the 111.53% number. I think it's extremely important to note we're very cognizant of these prices both in terms of market movements as well as how we structure our deals and make sure that our deals have the maximum amount of corporate section for our investors. Our guidance that we have given in the fourth quarter of 2013, as well as in 2014 reflect making sure that we use more call protected securities going forward. And we are constructive about the pricing of these government guaranteed instruments in the marketplace. Slide number 16 which is slightly ahead of [other] presentations, we continue to put this out there pretty much demonstrates how we raise cash every time we create $1 million SBA loan, as well as how we create revenue and that is risk adjusted revenue with discounts already associated with the loans. Slide number 17 talks about our small business finance, total pipeline which has increased by 55.8% year-over-year through the first nine months in the year. And the lender once again is wondering to get a lot of referrals $4.5 billion to $5 billion. Slide number 18 talks about our competitive loan portfolio almost over the course of three years as a beginning date of 12/31/10 versus 9/30/2013 we continue to see very good diversification and industry classifications and state with improving FICO scores, as well as first liens on commercial real estate and primary collateral and doing fewer stocks which is the function of the loan portfolio. On slide number 19 there is a graphic depiction of our Newtek servicing portfolio which you could see has increased. One of the important factors in the third quarter of this year was we actually had a portfolio that we service rather than was sold to the market. So loan servicing portfolio for others actually declined at the end of September from $258.8 million to $174 million. So that was one of the negative drags on our lending segment. Consequently the $400 million worth of loans that we put on in this particular quarter will give us a nice boost in the fourth quarter of 2013, as well as throughout the majority of the year in 2014 and that is included in our guidance. Then on electronic payment processing segment, our Q3 revenues increased by 2.2% to $22.2 million. And our monthly processing volume per merchant increased 5%. We anticipate having $4.5 billion of annualized electronic processing volume by the end of 2015. One of the things that we've been talking about to our [investors] is our new ISO effort in legal. Some of the issues that affected our payment processing business throughout the course of 2013 changing over a management from Derek DePuydt to Eric Turille bringing Tom Hawkins adding some other key staff has slowed the development of this group. We did want to announce so far we closed 114 new merchants with annualized processing volume of $45 million. We expect these numbers to begin to jump in the fourth quarter and throughout 2014 and we’ll [always be] reporting that we think we’ll pick up quite a bit of business and quite a bit of margin from that particular effort. Looking at the Managed Technology Solutions segment, revenue declined slightly 4.6% in the third quarter. We’re very optimistic about the Managed Technology Solutions’ effort and the shift over to cloud computing, we think will be a major trend in the market. We have repositioned our organization to focus more on Linux-based platform. We did have some issues with Managed Technology Solutions in the year-over-year comparison. We did a lot less expenditure from our development team with respect to CapEx in the third quarter. And we rolled off a lot of that expense from our development team. This is factored into our future guidance and we feel pretty good that this business will may turnaround. Our expectation for the full year Managed Technology Solutions is probably revenues will be down a couple of points versus being down 10% the year prior. So we are looking for a reversal and uptick in revenues and paying a little bit more closer attention to our margins and cost control in this particular business. If you move to slide number 24 you can see our Managed Technology Solutions referral trend clearly are in upward trend. Our growth strategy for Newtek going forward, we put a lot of effort into our advertising budget through 2013 and it paid off very, very well with a primary focus in the lending area. We do anticipate running cloud computing solution commercials as well as Newtek Advantage commercials. The Newtek Advantage is our tablet-based product that basically gives business owners a dashboard to get real time information on payroll or to processing data grows my web traffic statistics and real time merchant process statistics. So we are very excited about the direct strategy there. We plan on announcing some very new and significant strategic alliance partners going forward working on some significant contract there. And we are also in the market to bring an additional staff to help us with our cross selling, cross marketing and bundling outside networks. Looking at our organization clearly in the lending space entities that are beginning to establish non-bank lending brand like on Deck Capital Lending Club in the private market that have huge valuations. I welcome any of you to take a look at what we have done being in the lending business for 10 years having real time whole staff loan assembly, while underwriting, while closing having done three securitizations with Standard & Poor’s ratings, having been rated as the commercial SMB servicer original acceptable upgraded to select, servicing over $1 billion of small balanced commercial loans for many outside third-parties including the FDIC. We are very excited about our learning platform and our lending business, as well as the entire position of Newtek as the small business authority. It’s very hard to accomplish that are really very, very accomplish. So we look at different entities in the market that are parts of our business probably wanted to close these comps directly called Universal Business Payment System, UBPS. That $20 million EBITDA paid about a $170 million or $180 million for the entire business for non-integrated separate subsidiaries. We are very excited about where we are. We’re appreciative of increasing our trading volume and our stock and if we trade on 160,000 and 170,000 shares today holding $3 level we’re appreciative of this be support the investment community and recognition -- give us. Looking at Newtek on slide number 27, we’ve been a publicly traded company since 2000. Our interest are very much aligned with shareholders management can see our executive staff on the Board probably next to 15% of the outstanding shares. Today we are currently trading at about five times 2013 forecasted adjusted EBITDA little under four times 2014 adjusted EBITDA tuning about 1.7 times booked. We are very, very excited about our fourth quarter, as well as moving into 2014 period of time where hopefully some of our capital raising expectations will close and we will continue to deliver good performance to the investment community. Jenny you want to go over the financial summary?
Jenny Eddelson: Sure. Thank you, Barry. To summarize our consolidated third quarter results we had operating revenue of $34.8 million, a 4% increase over the third quarter of 2012. Consolidated pre-tax income was $2 million for the quarter and net income attributable to new tax was $1.8 million favorably impacting 2013 net income during the period with the benefit related to the tax true up for the period. We reported diluted EPS of $0.05 per share, a 67% increase over the third quarter of 2012. And we had adjusted EBITDA of $4.4 million for the quarter. For the nine months ended September 30, 2013, we had operating revenues of $105.9 million, a 10% increase over the prior year. Our consolidated pre-tax income was $7 million and net income attributable to Newtek was $5.1 million. Both improvements over the year ago, pre-tax income of $6.2 million and net income of $3.6 million and we had a 40% increase in our EPS which was $0.14 per diluted share. Our adjusted EBITDA for the nine months ended September 30, 2013 was $13.9 million, a 21% improvement over the prior year. Please turn to slide 31 and 32 for a summary of the third quarter and year-to-date 2013 segment results compared to the same period in 2012. In the Electronic Payment Processing segment revenue grew by 2% between quarters to $22.2 million. The overall increase in revenue was due to growth in processing volumes which on average increased by 5% for merchant partially offset by lower average pricing between years. Pre-tax income for this segment increased 8% to $1.9 million for the quarter principally due to a reduction in the salaries and benefits and depreciation and amortization between years. Our year-to-date EPP revenue increased by 6% and pre-tax income increased 18% year-over-year to $6.2 million principally due to an increase in margin of approximately $293,000 and a reduction in salaries benefits and amortization. In the small business finance segment revenue grew by 12% to $7.6 million and pre-tax income was $1.7 million for the third quarter of 2013. Contributing to the increase in total revenue for the segment was premium income which increased approximately 30% due to growth in the total amount of loans originated and sold year-over-year. The average price of guaranteed loans sales for the quarter was 110.74 and we funded $42.3 million in SBA loans during the quarter as compared to $26.6 million during the third quarter of 2012, a 59% increase. While our net servicing income decreased by 36% for the three months ended December 30th compared with the year ago period, our aggregate servicing portfolio increased by 5% year-over-year to $619 million in loans service and with the addition of a $400 million portfolio added in October our total servicing portfolio now exceeds $1 billion. Segment expenses increased 29% between periods principally due to increases in salaries and benefits loan originating cost and interest expense all of which are consistent with increases in loan originations and the growth in our servicing portfolio. Pre-tax income for the three month period decreased 13% due primarily to the contraction in our external portfolio servicing account. For the nine months ended September 30, 2013 total revenue for the segment increased by 33% driven by a 67% increase in premium income a 42% increase in interest income offset by a 15% contraction in total servicing income. Lender pre-tax income for the nine months ended September 30, 2013 increased by $1 million or 20% compared with the year ago period. In the Managed Technology Solutions segment revenue between periods remained essentially flat quarter-over-quarter at $4.5 million and decreased by 2% in the year-over-year to-date. Pre-tax income for the three and nine months was $881,000 and $2.8 million respectively as compared to $1.2 million and $3.4 million during the same periods in 2012. The increase in total expenses was primarily related to increases in other G&A cost between periods. The All Other segment, which primarily represents results from our insurance and payroll subsidiaries, had revenue of $689,000 for the quarter, a 33% increase over the prior year quarter and primarily driven by an increase in insurance commissions resulting from the purchase of a health and benefit book of business, which occurred in December 2012. The segment had a pre-tax loss of $311,000, an increase of $132,000 over the loss in the same period of 2012. Year-to-date revenue increased by 42% to $2 million and the segment had a year-to-date loss of $1.2 million. The Corporate and CAPCO segments reflected a combined increase in pre-tax loss of $164,000 quarter-over-quarter, primarily due to an increase of marketing related to the company’s advertising campaign. The year-to-date loss essentially remained flat. Slide 33 is the detail of our 2013 guidance by segment, which we are reaffirming for the year and finally slide 34 is our guidance for 2014 by segment, which reflects our midpoint revenue of $164 million, an increase of 11% of our 2013 midpoint. Pre-tax income midpoint up $14.6 million, an increase of 27% over 2013, adjusted EBITDA midpoint up $27.4 million, an increase of 31% over 2013, and finally we are issuing midpoint guidance for 2014 diluted EPS of $0.23 per share. I would now like to turn the call back to Barry.
Barry Sloane: Operator we would like to take questions now.
Operator: (Operator Instructions) Our first question comes from the line of Marc Silk from Silk Investment Advisors. Mr. Silk your line is open, please go ahead.
Marc Silk - Silk Investment Advisors: Congratulations on another good quarter, Barry. My only question is, can you just give us a little color as far as what went on during the government shutdown? So for instance I know you can do the FDA loans but will you still getting customers prepared in the minute the government open you hitting the ground running or it’s not as simple as that?
Barry Sloane: Yeah, I appreciate the question. During the shutdown we were still taking in applications. We were growing the pipeline. We were getting deals ready to be closed. So for the most part, we didn’t stop our operations. Remind you things do tend to bunch up during that, if you add for a periods on. So it definitely made things a bit more difficult, but our operation went very smoothly and it did not slow us down along the pipeline at all.
Marc Silk - Silk Investment Advisors: Alright, thanks.
Operator: (Operator Instructions). Our next question comes from the line of Frank DiLorenzo. Mr. DiLorenzo, your line is open. Please go ahead.
Frank DiLorenzo - Singular Research: I had a question about electronic payment processing, could you give us a little detail on what you’re seeing going into the holiday season in 2014 with regards to consumer demands and the overall economy just on your end sort of internally if you have any particular expectations relative to the holiday 2012 as well as fiscal year 2013?
Barry Sloane: Thank you, Frank. It’s a little too close. I should say too far away to really get a deal for what I would say holiday shopping is coming and I will tell you crossing volumes for the month of November exactly firm. We are not seeing double-digit growth like in one quarter in this particular business or in the market. Unfortunately a lot of the negative news in the last four weeks whether it was two weeks of government shutdown and two weeks of the Affordable Healthcare Act hasn’t really helped the overall confidence level in small business. I think you are looking generally for on holiday season that will be low single digit growth for retail activities, that is the feeling that we are seeing. In the payment side, we think our revenue growth will be beyond that based upon the mix of accounts that we have, but that’s pretty much what we’re seeing at this point.
Frank DiLorenzo - Singular Research: Question regarding Managed Technology, some of the metrics you provided us looks solid, however we haven’t really seen the translation into strong revenue growth. I was wondering what that is a function of, is that the pricing scenario? We are seeing some good metrics, but we are not quite seeing that growth yet, is there going to be inflection point there where we see a nice uptick on the revenue side of the business?
Barry Sloane: Frank, I'm still optimistic, but I would tell you at this point in time, I'm disappointed in the quarter as well. And we have to work harder to figure out where our customers are spending money, why they are spending money and why they are not coming to us to make those expenditures. So I'm optimistic in the sense that this particular unit we know very well, we have done a great job of servicing customers historically. I think that we have as the markets are changing particularly with respect to cloud we need the market to know that we are on Linux and cloud provider, but historically we have been a Microsoft Windows only provider. We also need to reach out to the end customer itself. So, I've actually got a meeting with [C J Brunet] tomorrow in New York to discuss this, but we are not happy with the results at this point of time and I would view our performance in this segment is underperformance based upon what we should do.
Frank DiLorenzo - Singular Research: Great. Thanks. I'll go back into the queue.
Operator: Our next question comes from the line of Harold Elish of UBS. Mr. Elish, your line is open.
Harold Elish - UBS: Thanks so much, Barry, and thank you for your [candid] regarding Managed Technology. I mean, give me some feeling strategically of how you perceive that business, I mean is this a business we have to be in as a loss leader regardless of its profitability?
Barry Sloane: Thank you, Harry. I want to take a part of that question, because it's a great question. Is this a business we have to be in? So I'm going to roll to take back to 2008 and 2009 on my Board of Directors meeting who said this lending business, do we need to be in this lending business? And I am very glad the Board made the decision to stick with it. This is a business that we have a very good back-end capability. We have a dedicated staff. It does a great job of picking up the phone, servicing customers. We have a great record of being up time with our clients. There is software, the hardware solving problem, solving solutions and knock with that (inaudible). We've never had major technical outages which a lot of our competitors have. Our biggest problem is the marketplace doesn’t know that yet. In terms of this being an important category, the one thing I feel extremely strongly about is the market of cloud computing solutions, which is sort of [fancy] term for not having a server in your closet, a tower on your desk with data, getting your data, your software and your hardware out of your premise and into a data center. This is not a space to Google and Amazon is going to playing because they don’t really handle or deal with small clients, they don’t want to know from. This is a market for us to take advantage of and we're going to take advantage of it and it’s hard to tell you exactly when this should be fixed. But my goal will be post some of these financings which take an unbelievable amount of management time effort, energy and resources plus some of the other issues we've had this year to dig in with the existing management team and refocus our efforts, I am very optimistic about the strategy and being in the right place with this particular segment of the market. I think (inaudible) everything. I think at the end of the day, business owners, they are going to run their business from a tablet. I don’t know if you notice this quick books and advertising based on (inaudible) tablet based desktop that’s going to take advantage and we can complete with them because we actually provide the service and they don’t. So appreciate question.
Harold Elish - UBS: But, I mean, I certainly don’t in any way to perform want to convey the sense that it would be a good idea to have a diversified platform. We know that in the long run you are not going to be able to make profit margins, (inaudible) business, but I guess, what I am hearing from you is, if it turns out for whatever reason the cloud computing can said to be a pretty competitive place and then just a profit margins are hard come by that you perceive this as the entrée to small business then leave them into doing things (inaudible) and they are more profitable.
Barry Sloane: 100%, I mean our payroll was in the cloud, our insurance payment is in the cloud, payment processing, the data, that business owners want from payment processing that comes in through their websites or their registers, the POS system, they are going to want that in the cloud. So it’s a big market, it’s a big trend, it’s a big opportunity. There is a private equity in the market called Endurance that did roll up on the lot of companies similar to ours. The talk on that rollup is huge multiples, I mean high single digits. So we’ll get it right.
Harold Elish - UBS: I appreciate it. Have a good evening.
Operator: Thank you. And at this time, I see no further questions in the queue. I’d like to turn the call back over to Barry Sloane.
Barry Sloane: I want to thank everybody for joining the call and listening in. We have a lot of listeners today and we really appreciate the interest in our company. We look forward to reporting our fourth quarter results and look forward to further execution of our strategy over the long term. Thank you very much.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This does conclude the program, and you may all disconnect. Have a wonderful evening.